Operator: Good morning. My name is Melissa, and I will be your conference facilitator. At this time, I would like to welcome everyone to the BorgWarner 2016 First Quarter Results Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer period. [Operator Instructions] I would now like to turn the call over to Ken Lamb, VP of Investor Relations. Mr. Lamb, you may begin your conference.
Ken Lamb: Thank you, Melissa. Good morning and thank you all for joining us. We issued our earnings release this morning at around 8:00 a.m. Eastern, it's posted on our Web site, borgwarner.com, on our Investor Relations home page. A replay of today's conference call will be available through May 13. The dial-in number for that replay is 800-585-8367. You'll need the conference ID, which is 77109071 or you can listen to the replay on our Web site. With regard to our investor relations calendar, we will be attending the following conferences between now and our next earnings release. The Wells Fargo Industrial Conference in New York on May 10. The Barclays Americas Select Conference in London on May 18. The KeyBanc Automotive Industrial and Transportation conference in Boston on June 1st, Deutsche Bank Industrials Conference in Chicago on June 9th and the Citi Industrials Conference in Boston on June 14. Now, back to today's earnings release. Before we begin, I need to inform you that during this call, we may make forward-looking statements which involve risks and uncertainties as detailed in our 10-K. Our actual results may differ significantly from the matters discussed today. Now, moving on to our results, James Verrier, President and CEO, will comment on the industry and provide a high level overview of our results and expectations for the remainder of 2016. And then Ron Hundzinski, our CFO, who will discuss the details of our results and guidance. Please note that we have posted an earnings call presentation to the IR page of the Web site. You'll find the link at the events and presentation section beneath the notice for this conference call. We encourage you to follow along with these charts during the discussion our results. With that, I will turn it over to James.
James Verrier: Thank you, Ken. And welcome to everybody. Thanks for joining the call today. Ron and I will spend a little bit of time with you going through Q1 2016 and then obviously we'll get in share with some of our thoughts around the outlook for the rest of the year. So you can see on Slide 2 let's start there and let me give you some our perspective on some of the bigger picture issues little bit around the macro-environments and then the industry in general. I think the headline for us as we look at the macro in the industry. This as we know there is a lot of uncertainty out there in the world and whether that's Federal Reserve issues, China monetary policy, oil Middle East the list is pretty extensive and we do see a general tone of uncertainty in the general macro-environment. That said our view is all those are relatively stable and I'll get into more color on that. So we see an unstable macro, but all those are in pretty good shape actually. If I take that down a little further and talk more specifically about our view on the market, I'll start with the light vehicle view and we will continue to remain pretty plus realign with IHS as we've done through the year actually. So that points us to a projection for 2016 light vehicle growth in Europe of about 2%, North America around 4%, China somewhere around 5% to 6%. So we continue to share a similar set of views to those of IHS. If I switch over to commercial vehicle which is obviously a key market for BorgWarner, we still see that very challenge, we’re not seeing a lot of uplifting news frankly speaking on the environment around commercial vehicle. On a macro, global level growth is really very little if any and one of the evolution I would say in the commercial vehicle space is we do see some of the new programs that were targeted for the out years coming into a little of question and review and so we're paying a lot of attention to that. As we look out into 2016 from a high level perspective, on the last call I wanted to alert you to the areas of watch that we're paying attention to as we continue to move forward in the year and I'd like refresh what we're watching and paying a lot of attention to commercial vehicle I already alluded to, the second area where we're watching and paying a lot of attention to is China and particularly what we mean by China is, I think we all benefited from some good tailwinds around the incentives that were put in place at the end of 2015 and we're paying attention to how that evolves particularly into the second half of the year. So what that means is are we seeing any path forward in the first half of the year or do we see continued strength from the incentives, and I would say there is some questions there. Specifically, from the BorgWarner point of view we're paying attention to I would say China and Europe relatively to our biggest German-based customer and how that may play out as the years unfolds. And then I think like all of our -- we're going to pay a lot of attention to inventory builds and inventory building schedules in North America. So those are just some of the areas, with that said things have gone well for us well so far and we're optimistic and positive about our guidance for the year but there are some watch points and I think it's prudent of us at least share with you what those watch points are from our view points. Still on the same slide, let me reference some of areas that maybe of interest for you around the regulatory and technology trend area. We continue to see a strong drive for fuel economy and emissions regulations that are pulling our powertrain technology programs. I would articulate so the group here on the call the intensity we see around product development activity, innovation activity is at least at the same level and potentially probably a little higher than it was several months ago around technology for fuel economy and emissions. So I just wanted to point that out we're not seeing any slowdown if anything we're seeing a little bit more work around meeting fuel economy and emission standards for powertrain technology. We've engaged in some meaningful dialogue in the last quarter directed with the EPA and our view of the world is that we have not anticipating meaningful change to the 2025 CapEx standards. That's not to say that maybe some minor adjustments and clearly the process that’s to play out with further discussion, but our view at this stage is we're not seeing meaningful change. Just like other suppliers in the space and the OEMs that you talk to, the transition to electrification of the powertrain continues to evolve and I would accelerate. We noticed that a couple of years ago and we've see that trend playing out and we continue to see that intensify. Clearly for BorgWarner right in the middle of the that electrification evolution and whether that's 12-volt, 48-volt hybrid EVs, we see a lot of activity around many different architectures and I would say to the group here not just for the long-term 7 or 8 years out, but we're seeing meaningful evolution in that space in the next 2 to 3 years, so more to come on that in my later comments. I also wanted just to anecdotally mention as this electrification trend continues, I know one of the hot buns for the Company is how does play out for you from electric vehicle. We talked on the last call that we were very proud of our EV transition program with Remy that will run at somewhere around by 15,000 units in 2016. I can tell you we've been awarded two additional electric vehicle programs for the company. I'm not in a position to announce the details today, we need to work with our customers to get that, but those announcements will be coming out in the next few months and we view them as significant in how we will play in that space. Finally around the regulatory technology area let me make a couple of comments around diesel, I know that's on people's minds. I would say it’s a similar story to what I shared with you in February. We're not really seeing any meaningful mix shifts at this point we do know and we believe that the diesel gas mix will slowly evolve and shift a little more to gas over the next couple of years, I think that's consistent with others viewing the space. We see that as a somewhat neutral event for BorgWarner as that technology continues to get adopted to the gasoline products at a similar level to diesel. Let me shift from the macro and the industry perspective and give you a little bit of a snapshot of, from a BorgWarner viewpoint. First of all let me start with Q1 and obviously Ron will give you a lot more color and details in his commentary. But I would tell you from my seat I was very pleased with our Q1, I think we delivered some good growth, a little bit above expectation which was good to see and as you'll see in the details a very strong operating performance across the segments. So I went into the quarter feeling good, I come out of the quarter feeling very good. It was a good solid quarter for us. Versus our expectations the revenue I would say on a regional basis, China was -- China played out about as we had expected overall, Europe a little lower than what we had expected and I can give a little bit of commentary on that later and North America and Korea a little better than we had expected. But no meaningful big shift, it was just little bit of nuancing and overall that led to a good quarter. That quarter totaled up to 2.3 billion in sales which when we exclude FX and Remy that's about 4.5% growth. The EPS of $0.80 which includes the non-comparable it does of course include Remy and our operating margin of 12.2% again for comparable thoughts when we exclude Remy on the core business for BorgWarner it was 13.2%, strong performance. If I break that down a little further by segment engine came in at 1.4 billion which grew at 1% as reported or 4.5% when we exclude currency. Primary drivers of the growth, good growth in engine with turbo and VCT Variable Cam Timing on the engine timing side of our business. Our drive train sales 879 million, that's up an impressive 44% but obviously we get the benefit of Remy, when we exclude Remy and currency we grew at 5% in the drive train segment. That was primarily driven by very good all-wheel drive sales in North America and also in Europe. So again good quarter, as we look out for 2016, you'll see that we did tweak our guidance just a little for the full year, but generally it's pretty much unchanged and I'll let Ron give the necessary detail around there. I did want to comment on the Wahler restructure because you see that in some of our walks as it comes up. I want to say this I think the Wahler transaction we did strategically we feel very positive about it still, it was -- we're very comfortable with the technology we're comfortable with the customer reaction, customer were pleased with the growth. The restructuring element of it is taking longer than what we had anticipated and that's a little frustrating from a BorgWarner viewpoint. Let me just maybe give a high level summary of why that is so you have a sense. What it really is, it centers around our European facilities, the Asia and South America and North America are doing great actually. The European piece, we're in the process of having to make a lot of product moves, we're closing the plant, we're opening the plant, we're building the plant up and there is multiple moves of products as part of the restructuring with our customers, it's taking a little longer than we'd anticipated but we're going to come through it and get back on track with Wahler. So our adjusted guidance does reflect a little less tailwind then expected for Wahler, but as you can see we didn't change the total company margin or EPS guidance. I also want to share my view a little bit on as we look to the second half of the year and maybe some, I think what I would say to you is we have opportunities and we have risks, I would say the risks a little outweigh the opportunities as we see the world at this point. And let me maybe share what I see those as. You know I mentioned earlier that China, second half of the year, we do have a little bit of angst that some of that incentive benefits that we're getting is being potentially pulled into the first half, and as you know our back half for the year is very heavily weighted to a lot of launches particularly in Q3 and some of those are very significant and we see a little bit of risk there. And commercial vehicle is kind of little bit hard to read, it's hard to imagine it getting much worse than what it is but we do pay attention to that. And I think the last comment I would make relative to the risk to the second half is our largest German based customer and is there additional risk there in China and Europe from a market share pressure point of view. So we've reflected that into our guidance we believe that's the right thing to do, that's the prudent thing to do. But I do want to be very clear, I'm very comfortable and I'm very confident about reiterating our ability to achieve our full year guidance. We're off to a good start and we'll deliver on our full year guidance. And that guidance of course is a good mid-single digit growth and strong operating performance. Let me just share couple of highlights around growth that you can see on the screen. First of all Remy, the Remy deal, I would say the high level -- the integration is actually going well for us and I would say to you financially and operationally we're performing about as expected which is pretty good. The reaction from our customers around the technology is very positive. We have multiple customers already engaged in discussion around not just the core Remy business, starters, alternators, belt alternator-starter systems, but a lot of activity, a lot of discussion, a lot of quoting activity around the combination production. And I would point you to the largest part of that, is our activity about the combination of the formal Remy motor, the BorgWarner clutching system, the hydride vehicles. Some of you on the call may that know as the P2 hybrid architecture, we feel very positive about where we stand on that position and more to come on that. Away from the Remy integration, I will tell you the quotes and our booking activity remain strong and solid very much in line with our growth expectations, so we feel good about our win rates, we feel good about the actual overall quoting activity and all that building up nicely for our future growth. And I said earlier the intensity around the electrification continues and BorgWarner is right in the middle of that. So if wrap up with that and summarize before I turn it up Ron, we're up to a good start to the year, really good solid Q1. The business is running well. We continue to be heavily focused on driving our growth through adoption of technology and we're up beat and confident about our delivery our full year guidance. So with that let turn the call over to Ron who can provide more color and detail around the financials.
Ron Hundzinski: Thank you, James, and good day, everyone. Before I review the financials detail, I would like to provide you some of the financial highlights as I see them for the quarter. As James said, we have experienced expected sales growth for the quarter. We also expanded our free margins on a comparable basis and we flowed through that additional sales, but more importantly for me on the cash side we saw return to normal CapEx spending. So now as Ken mentioned I will be referring to the supplemental financial slide deck as we posted on the IR website, so I do encourage you to follow along. So let's start on Slide 3, on a reported basis which includes the change in sales due to market growth price, net new business, FX and Remy that's a mouthful by the way, segments were up 14.3%; however, to get a clear picture of how the core business performed, we have to exclude the impact of FX and Remy. So when you exclude those items, sales were up 4.5% which was above the high end of our guidance range. Gross profit as a percentage of sales was 20.5% in the quarter. On a comparable basis or excluding Remy, gross margin was 20.9% which is down 70 basis points from last year caused by plant startups and borrowed restructuring inefficiencies as James talking about earlier. SG&A as a percentage of sales was 8.3% but on a comparable basis SG&A was 7.8% of sales or 70 basis points improvement from a year ago. The Company did a good job of executive cost controls to offset the gross margin decline. R&D spending, which is including in SG&A was flat from a year ago at 3.8% in sales; however, if you do exclude Remy engineering was at 4.2% or actually a 30% increase in absolute spend. Now let's look at the year over year comparison for operating income which can be found on Slide 4. Starting on the right fourth quarter 2016 operating income adjusted for non-comparable items but including Remy was 276 million or 12.2% of sales. Excluding Remy's $11 million of net contribution to operating income, operating income was 266 million or 13.2% of sales and that's up 10 basis points from a year ago. Excluding non-comparable items Remy and FX operating income was up 14 million and $90 million in other sales and that gives us the incremental margin of 15% in the quarter. Now, I would like to pause for a second and point out that there is a reconciliation of reported operating income or GAAP basis to operating income adjusted for non-comparable items plus Remy and can be found on Slide 15, this is very important and that is GAAP reported different there. Now I can move. As we look further down in the income statement, equity and affiliate earnings was about 9 million in the quarter which is up slightly from last year. Interest expense and finance charges were 21 million in the quarter, up from 10 million a year ago and this increase is primarily due the $1 billion and €500 million fixed rate seniors notes issued in the first and third quarters of 2015 respectively. Provision for income taxes in the quarter, on a reported basis was 80 million. However, this included 1 million tax benefits associated with our non-comparable charges plus an additional 1 million favorable tax adjustment. You can read about each of these adjustments in our 10-Q which will be filed later today. So if we exclude those items the provision for income taxes was $82 million for an effective tax rate of 31% and I should note this is up from our guidance of 30%. Net earnings attributable to non-controlling interest were about 9 million in line with the first quarter of 2015. Let's take a look at our diluted earnings per share on Slide 5. Net earnings excluding non-comparable items but including Remy was $0.80 per diluted share. For comparisons with prior periods net earnings excluding non-comparable items and Remy was $0.77 per diluted share. Now let's take a closer look at our operating segments in the quarter, begin on Slide 6 of the deck. Reported income for the -- I'm sorry reported engine segment net sales were just under 1.4 billion in the quarter. Sales growth for the engine segment excluding currency was 4.5% compared to same period a year ago, primarily due to higher turbo charger and variable cam timing systems. Turning to Slide 7, adjusted EBIT was 233 million for the engine segment or 16.7 % of sales excluding currency, the engine segment's adjusted EBIT was up 10 million on 63 million of higher sales for an incremental margin of 15%. Turning to Slide 8 and starting from the right drive train segment net sales were 879 million for the quarter. Excluding Remy and FX sales growth for the drive train segment was 4.8% compared to same period a year ago primarily due to higher all-wheel drive sales. Now on Slide 9, adjusted EBIT was 84 million for drive train segment or 9.5% of sales reported, but it exclude Remy adjusted EBIT was 11.7% of sales which is up 10 basis points from the prior year. Excluding Remy and FX, the drive train segment adjusted EBIT was up 5 million and $30 million of higher sales for an incremental margin of 15%. Now let's take a look at our balance sheet and cash flow. We generated $35 million of net cash from operating activities in the first quarter which is typically our lowest quarter for cash flow. Our investment in working capital ramps up for the first quarter to match higher levels of business activity compared with end of the year. Capital spending was a $104 million in the first quarter down from a $140 million a year ago. Capital spending was above the trend in 2015, but we are returning to normal spending levels of 5% to 6% of sales this year. Free cash flow which we define as net cash from operating activities less capital spending was an outflow of 69 million in the first quarter. That's a $38 million improvement from a year ago. Again this is a typical seasonal occurrence. We still expect to generate between 400 million and 475 million of free cash flow in 2016. At the mid-point that's up 50% from 2015. 200 million to 300 million of this free cash flow will be used to repurchase shares in 2016. Looking at the balance sheet itself, balance sheet debt increased by 48 million and cash decreased by 185 million in the first quarter compared with the end of 2015. The 233 million increase in net debt was primarily due to investments in working capital and share repurchases. We spent $80 million repurchasing 2.1 million shares in the first quarter, ahead of schedule for executing an expected 200 million to 300 million of share repurchases this year. Our net debt to net capital ratio was 37% at the end of the first quarter. That's up from 35.2% at the end of 2015. The net debt to EBITDA at the end of the year on a trailing 12 month basis was 1.5 times. Now I like to discuss our 2016 guidance which is slightly modified from our initial announcement. Returning to the slide deck, let's start with our sales growth guidance for the full year on Slide 10. Note that the baseline of 2015 net sales excluding Remy which was just under 7.9 billion. All in we expect growth between 12.7% and 17.5% which is down slightly from 13.2% to 18.3%. This change is primarily due to lower growth expectations from Remy's commercial vehicle business. We're seeing the same effect in Remy and commercial vehicle we're seeing in our core business. Currency is unchanged and net new business pricing and market related growth is also unchanged at 2.5% to 5.5%. Looking at our operating income guidance on Slide 11, from an operating performance perspective we are expecting 16% to 18% incremental margins on our core business sales growth which is slightly down from our previously guide of 18% to 20%. The change is due to slower progress of the Wahler restructuring as James mentioned earlier in this remarks. Our previous guide included $8 million tailwind from Wahler restructuring this year which is has been reduced to 3 million. On a comparable basis we still expect our operating income margin to be 13% or greater. And as including Remy our operating income margins still expect to be around the 12% range. Now on Slide 12, we have our EPS guidance we still expect earnings of $3.11 to $3.32 per share on a consolidated basis which includes about $0.12 per share from Remy. Excluding Remy we now expect earnings to be $2.99 to $3.19 per share. Now let's review of effective quarter guidance issue this morning starting with the sales growth on Slide 13. All-in we expect to grow between 10.6% and 16% in the quarter including about 12 percentage point due to Remy. Excluding Remy our growth in the quarter is expected to be between minus 1.5% to be positive 3.8%, but includes a negative impact of currency. Currency is expected to over sales by 290 basis points at the low end and 100 basis points on the high end. So if excludes Remy in currency the impact of net new business pricing and market related growth would drive growth between 1.5% to 4.5% in Q2. Now turning to Slide 14, we expect earnings of $0.78 to $0.83 per share on a consolidated basis in the second quarter which includes about $0.03 per share from Remy. Excluding Remy we expect earnings to be $0.75 to $0.80 per share. I would like to make a few concluding remarks, we had a good first quarter. Sales growth exceeded our expectations and we flowed this through to our operating income. But more importantly the first half of 2015 was a challenging year for us and we were having a difficult time setting our sales guidance because of the market index in that we have in BorgWarner and as a result this impacted earnings expectations last year, however, over the last three quarters we have settled this down and we have achieved our sales and earnings expectations. So as we look at the rest of the year, we expect to continue on this path solid sales growth, strong operating margins and improved cash flow for a year. I remain confident that we will deliver our 2016 guidance similar to as James expressed earlier. And with that, I will like to turnover call back to Ken.
Ken Lamb: Thanks Ron. We're now going to move to the Q&A portion of the call. Melissa, please remind everyone of the Q&A procedures.
Operator: [Operator Instructions] Your first question comes from Rich Kwas with Wells Fargo. Your line is open.
Rich Kwas: James following up on your comments regarding risk and opportunities and more risks here maybe versus 60 to 90 days ago, if we look at first quarter you came in better on organic growth versus your initial expectation, you didn’t change the full year organic growth rate, but is it fair to say that you've taken some of these incremental risk into account through the second half of the year as it relates to the items you cited earlier?
James Verrier: Yes, it's a good way to think about it Rich. Yes that is the good way and that’s kind of the way I thought it would be useful to at least let you know what some of them could be, we're not necessarily saying that it will happen, but we just thought it was prudent and it does get back a little bit through to China, story a little you know that we've seeing some acceleration in the first half on these incentives that made way a little bit on the backend. Clearly, we have the Volkswagen business with China particularly and Europe for the market share risk point of view and just on that one Rich as an example we saw some of that way on us in the first quarter with China -- in Volkswagen in China. You can see the numbers. They were down in the production pretty significantly in the first quarter and still 20 plus percent of that business. So I mean the last Rich is we got some pretty big launches which we talked about on the prior calls with us penned to start with the super duty the Duramax and so. These are all -- I would say, these are kind of pretty small nuance and things, it's not big but when we add all of those up, we just see slightly skewed to the risk side than the opportunity side. We just think it’s prudent reflect that and then play it from there.
Rich Kwas: And then in North America inventory appear to be elevated here and we need some real descent flow through on the sale side over the next few months to justify that IHS number that you've referenced, what are you seeing on schedules at this point here in North America and it doesn't seem like you've factored in much on the North American front on the back half, but just curious on how you see things potentially playing out here?
James Verrier: You're right Rich, that one we didn't reflect into our numbers in the back half of the year. We pretty much left that alone. I think what we're seeing is largely what you do, you know builds are -- you know the first quarter came in where it did. I think everybody's kind of looking at the second quarter as a kind of key one in terms of where we're stacking between production builds and inventory levels and that's going to give us a -- for me I think it's a pretty key quarter across all the OEMs. Generally, we're seeing build rates pretty good in general Rich, we're seeing not a whole lot of volatility, they're coming out pretty much as we'd anticipated. So we're not seeing I would just -- and that's why we didn't do anything with the back half guidance Rich. We left it alone. It's just an area like you and all of us were just paying attention and I think we'll get a little bit of a better readout to when we can look at the second quarter data and see what went on with the inventory and what went on with the production build. But we need the production builds to stay pretty strong and so far I would say they're holding pretty good and they hold like that we should be okay. Which is why we didn't adjust the back half.
Rich Kwas: And then just last one, thanks James by the way. And this is the last one, Ron, I think it was referenced that Europe was maybe a little bit below expectation and I don't recall if you said exactly why maybe it was Volkswagen share, but what was -- volumes are coming better at least so far for 2016, just curious on what drove the [indiscernible]?
Ron Hundzinski: It was -- we're just trying to get most of them and get actually for what it’s -- we see Europe running pretty well in general. If you recall Rich in the fourth quarter and we had some transmission programs that we’re running out and so you get a little bit of that noise flows through as those programs run off, and we did see a little bit of transmission build adjustment on VW which I obviously talked about. We saw a little bit of, little bit of share challenge from a VW perspective so that was, I mean it was a little lower than what we wanted, it wasn’t a big number but there was a little bit of noise there and each -- those are the two big ones Rich, VW and transmission roll offs, those are the two for us.
Operator: Your next question comes from Brett Hoselton with KeyBanc, your line is open.
Brett Hoselton: I wanted to kind of take a step back and just ask a longer term conceptual question, you've obviously provided the backlog guidance of 4% to 6% through 2018, my question is this. As you kind of looked that backlog number that growth number, ideally how should we think about kind of upside versus downside. Upside opportunity versus downside risk and then secondly as you look out beyond that three year time horizon is that a pace that you anticipate maintaining or would it -- is it likely to decelerate or accelerate?
James Verrier: That’s a great thought -- let me take a shot at it okay. So first thing I would say, we're in the first year of the net new business and that's where we're communicating. We're comfortable, confident and feeling pretty good about this year okay. So that's what we think. As we look out, I'm going to say a couple of things. Are we comfortable internally as a company with the projection we made? Yes. Do we like it? Not really. I'd rather be much higher than 4% to 6% and we're working like crazy to get higher than 4% to 6% and as we get through this year we'll have a better read on what that looks like, and obviously we need a little bit more time. So our focus right now is we're comfortable with what's out there. We're going to execute and perform against which I think we're starting to do, which is really good. And I would say incrementally as I look out we will go up from mid-single digit growth at some point if not yet. That's kind of the way to think of it Brett, we will. And I don't anticipate that. It's certainly not '16 and I don't yet think it would be '17 either. I want you to know BorgWarner is not happy being a mid-single digit growth company. We're going to go -- we're not, we're going to focus like crazy to go higher than that. But it's too early Brett, we got to deliver and we got to execute on the mid-single digit growth. I think the Investor Day will, that's later this year will help provide some clarity and color on why we believe there is opportunity to transition up. But it is too early at this point Brett, we need a little more time to execute, deliver and do our work.
Brett Hoselton: Okay, fair enough, and then switching gears, thank you James. As we think about M&A activity obviously you're digesting Remy and fairly large acquisition for you. As you kind of think about M&A activity should we think about it as kind of subsiding for another, for the next quarter or two, three, four quarters till you digest what you've bitten off so far, or can we expect maybe some additional bolt-on through the remainder of this year into next year?
James Verrier: I think, you're right Brett. Priority one really is flawless execution on the Remy deal which I'm pleased with how that's going. You know from a financial perspective you know we feel comfortable if another deal came along, we could do it and we would do it. So I don’t feel too inhibited from a smaller size bolt-on acquisition, I'm pretty comfortable there, and I think from a resource perspective we feel comfortable. So what I am saying to you is we're not slowing down our efforts to look at smaller bolt-on related deals whether it would be this year or next year, you always know that's kind of hard to predict the accurate timing, but I wouldn't wind you to think or anybody to think that we've done Remy, that’s all we’re doing and we've stopped kind of looking and working and talking about deals because that's not the case. We are, they would be clearly smaller than obviously the Remy transaction and they would be likely bolt-on complementary type technologies to what we have. So if that helps you Brett, that's where we're thinking.
Operator: Your next question comes from Chris McNally with Evercore ISI. Your line is open.
Chris McNally: Thanks so much, guys. This is Chris McNally. It seems like the first half this you're on a pretty good track to execute your new plan, on the second half comments I am just very curious, you didn't mention mix and that's one of the areas of that everyone is trying to figure out, particularly in North America. Sedan production schedules sort of moving down replaced by rising truck, could you just walk through how that may affect numbers or particularly some of the programs you're associated with?
James Verrier: Yes, sure, this is James again, Chris. As I mentioned earlier Chris, we've not really done anything relative from a guidance perspective to reflect any meaningful shift in North America. As I alluded to earlier, it is watch point for us more fundamentally inventory and production ratios as opposed to car-truck mix, if that helps you. I would say if let's say second half of the year, trucks stays a little bit stronger. It's probably a little bit favorable for BorgWarner, but it's not a big shift for us, we generally get a little better if its truck weighted versus car weighted. But it's not a big more for us, if that helps us.
Chris McNally: And any specific program within truck that we should pay attention to whether for launches or just the largest amount of content or incremental margin?
James Verrier: We have a lot of attraction for the F150.
Ron Hundzinski: And the super duty launch.
Operator: Your next question comes from Adam Jonas with Morgan Stanley. Your line is open.
Unidentified Analyst: Good morning everyone. This is [Indiscernible] standing in for Adam Jonas. Just a couple of questions and apologies if this has been address earlier, but in the past you've highlighted how Remy has a narrow band of customers and you're planning to leverage your relationships with existing BorgWarner customers especially in Europe, how have those conversations evolved in the past few months?
James Verrier: I would articulate it this way, think of it in two way, the core ex-Remy business starters, alternators, et cetera, and we're engaged in those conversations with customers that as of today have not in the past years from a Remy product and those conversations are going on, we're only a few months in. But I would say the opportunity for us is good, I mean we've served a lot of customers that Remy didn't, it's a little early to know how that's going to translate into revenue, we need a little more time. But I would articulate the conversations have been open and productivity and good thus far. As I alluded and mentioned in my opening comment already, the energy intensity excitement around the combination of products and future technology packages combining former BorgWarner is as probably exceeded our expectation from when we did the deal. As we've already said that’s a longer term revenue play, those are 3 to 5 years offerings. But I would say to you those have been extremely positive.
Unidentified Analyst: Understood and just a broader question on content going into cars. Obviously a lot of fuel efficiency content with ICE and electrification and there is also a lot of active safety content expected to get into cars, both clearly very important. And even with some content coming out, you would expect to see big net increases in cost that's in the median term, any thoughts how the consumer prioritizes different content and is actually able to afford all this increase in cost?
James Verrier: I can comment on that for sure. I think I mentioned earlier that we're not seeing any slowdown in the dialogue and the discussion around the need for technology to drive better fuel economy emission and vehicle performance. I know there is a little bit of perception out there that that's going to slow down and so dollars can be shifted over to these other technologies. We have not seen that. Our activity is as good as it's ever been in terms of working with our OEMs and the business equation has not changed, it's purely a value equation of how can the OEM meet their feel economy and emissions standards at the minimal cost frankly. So that minimizes any impacts on the end consumers. So when I look across the suite of BorgWarner product to do that, we're in a very-very good position that's why we're delivering the strong mid-single digit growth we're. The adoption rates for our products remain very strong and they will do because there are very good cost effective solutions that get the automakers where they need to in a way that they can support their end consumer.
Operator: Your next question comes from Richard Hilgert with Morningstar. Your line is open.
Richard Hilgert: Couple of questions please. In your comments James, you talked a little bit about the commercial truck outlook and how that's impacting BorgWarner. Is commercial truck still going to be viewed by BorgWarner as being you know a core market or is commercial truck something that BorgWarner might start to move away from?
James Verrier: Now in commercial truck, Richard, is a key part of our business and clearly it's challenged right now in terms of the market conditions, you know we'd seen you know globally you know no real growth in that sector if you wish for a while, but we're in there. You know BorgWarner has continued to grow in that sector, obviously we grow at a much faster pace on the light vehicles side of the business. So now the commercial vehicle businesses still remain very core to us. We have a number of our products across the portfolio that play in commercial vehicle, clearly the Remy transaction we did has a strong presence in commercial vehicle and that was attractive to us. So we remain committed to commercial vehicle, I think what we'll always see is with 80 plus percent of our business pass car related and a lot of growth in pass car as an end market, you're going to see that that growth generally outweighs in light vehicles over commercial vehicle, but that doesn’t step us away from focusing commitment around commercial vehicle.
Richard Hilgert: With the emissions legislation the Clean Air legislation around the world getting more stringent not only on passenger cars but also on commercial as well as stationary applications or marine applications whatever the case might be, are there any types of fuel efficiency or things that are attractive to BorgWarner on the commercial side that can be adapted from passenger or some new technologies that might fit in with BorgWarner's strategy on commercial?
James Verrier: Yes, absolutely Richard, that's what we do today actually. You know if you think about you know the lot about what you could say commercial vehicle oriented turbo charger technology, we can and we do apply to the light vehicle side of the business and vice versa by the way. We run our turbo businesses as an example as a very integrated business that's very -- creates a lot of synergies from a technology perspective between the commercial vehicle and the light vehicle. Another great example is you know we apply that dual clutch transmission technology that emanated from light vehicle if you know with Volkswagen and you know we're applying that to the Eaton trucks, so that's another very good example. Our cooling thermal, cooling technology you know fans, fan drive, pump technology, cooling pumps, you know we apply those across both light and commercial vehicles. So it's definitely and if you think of the global situation Richard, where you know a lot of trucks commercial trucks that is, are getting smaller, think of life's little delivery van type technologies and you thinking some markets, you know light, so called light vehicles are getting bigger. You know large pickup truck type vehicles and SUVs, there is a blend of technologies that comes together that can offer competitive position, I think we do that actually very well.
Richard Hilgert: Okay very good, turbo and diesel were kind of like hand-in-hand you don’t usually handle one without the other.
James Verrier: That's right Richard.
Richard Hilgert: That makes sense.
Operator: Your next question comes from John Murphy with Bank of America Merrill Lynch. Your line is open.
John Murphy: Just one question here I mean in the press release you guys were talking about the Gilly or Jilly EV7 initiative and you kind of allude to that it's designed for emerging high volume electric vehicle market. It sounds like a little bit of a change intrayear perception of the EU market, is that really focused on growth and the push for NEVs in China or is that sort of a broader statement about the global industry.
James Verrier: John I'll take that. I'll say a couple of things, obviously we do see the EV market evolving. Our macro perspective is you know we generally pointed to you know a ’20-’25 timeline of about a couple of percent of the fleet the world fleet would be EVs. We've always said that could be a percent too high or a little low, but in that range 2% or 3%. We're not moving at this point away from that view John. I would say incrementally we see more energy enthusiasm intensity in China around electric vehicles. I would say the bigger message we’re trying to get across, John, is you know this overhang with EVs BorgWarner doesn’t have anything, is simply not true. And that's kind of what we're trying to articulate that we will serve that market. And this is a great example of hard parts and assets that are going into electric vehicles leveraging BorgWarner's technology and it’s in China and it's a reasonable volume, whether it’s 15,000 this year. So macro not really changed on EV John, 2%-3% likely in the future, China probably getting incremental a little more aggressive that way, but the key message is BorgWarner is going to be in that space and play.
John Murphy: That is very helpful and then just a follow-up question, I know you guys commented that shift from cars to crossovers might not have to big an impact on content directly in the short run. But I was just wondering if can comment if we see shift towards more body on frame trucks, specifically the F150, if that could be a real positive mix shift for you and also there maybe longer term as these crossovers are pushed towards all-wheel drive systems for active safety and just for the content could there be a step in content from that vantage point as well?
James Verrier: I think as I mentioned earlier that we've done anything with our guidance to move away from any meaningful truck mix, truck-car mix in North America. And I said if we see a stronger second half where trucks a little better than what's expected today, I mean in general that helps us a little bit, we've been quite open that F150 is a very strongly contended vehicle for BorgWarner so that clearly helps and you have driven for us and I think you know this John, as that truck mix goes and they stop putting meaningful four-wheel drive or all-wheel drive transport capability and turbocharged engines. That starts to step up the content pretty meaningfully for BorgWarner. We have to watch and we do the GM truck share ratio because well our content is very strong on the Ford side, it’s much less so on the GM side, to be transplant with you.
Operator: Your next question comes from Joseph Spak with RBC Capital Markets. Your line is open.
Joseph Spak: First question is with respect to Wahler and the commentary there, can you provide is there any updated timing and can you still get to the ultimate goals you originally see or this can take longer or are we now to assume that this is going to be structurally lower than initially thought?
James Verrier: If you recall and I am sure you do, when we did the acquisition we've talked about 2 to 3 year transition period to get double-digit margins and then as we went through last year and forward a little bit of change on the restructure. We kind of pushed that, and so it’s certainly going to be closer to three. I think two things, one I think will be challenges to get it done in three, but we will get there, now is that 3.5 is it 4, it 4.5. I would ask you give a little bit more time until we can through some of this heavy lifting on the restructuring that we’re right in the middle of, but structurally we'll get there, we'll get to the double digit margins. We don't do it in the 3 year period, but we're going to get there. And give us a little more time as to whether that’s a 6 months push out or 1 year push out, just because we’re going to get through some of the challenges that we're in right now. But we will get there, I am not worried about that.
Joseph Spak: Okay and then on the guidance, so I understand that the change in revenue from Remy, the EPS is there and I know you've sort of baked in a lot of additional risk for the year. So should we read in that holding EPS guidance, you're eating into that a little bit or was there something else that I missed, maybe that’s a little bit better that allows you offset some of that softness?
James Verrier: What I would say Joe, is it's within the range and we're talking about 2-3 cents here, I don't think it's worth going through a lot of hoops basically for kind of immaterial at this point. You're right. The sales guidance was all driven by Remy, commercial vehicle. Now you get some moving parts on the EPS and I won't go in detail, but for example tax rate went up that was negative, right. Now we had some offset in the core business which was more positive, but then it was offset by some negatives in Wahler. So there is a little bit of walk, but at the end of the day we're in the same range.
Joseph Spak: And then last one, there has been lot more talk on 48-volt, I know that's something you guys have been incremental more excited about, are you seeing any uptick in quoting activity related to that?
Ron Hundzinski: I would say Joe from our viewpoint, I would say the quoting activity in general across all electrification architectures is very strong and probably getting even stronger. A lot of the dialogue we will be in because this is where BorgWarner operate is, many time with the dialogues with the customer will be, they're not sure whether they want a 12-volt or a 48 or 12-and 48-volt. People like BorgWarner can help them find that conclusion. So I am not necessarily in the view that there has been a massive uptick in pure 48-volt architecture. I think it's definitely going to move up in electrification architecture which we talked about for a while and I think this imply sort of a win, which is James’ view, the ones that conserve it’s flexibility between 12-and 48-volt and not rely on either one. And we have a bunch of products to do that. So whether that’s electric turbocharger, whether that's former Remy motor technology, just a name couple. So it's stronger and we’re right in the midst of it.
Operator: We have time for one final question and that question comes from David Leiker with Baird. Your line is open.
Adam Schmitz: Hi, guys. This is Adam Schmitz on the line for David. On the two additional two additional logic vehicle programs that you won, are there any additional details you can give maybe in terms of products their content where you've won those programs?
James Verrier: Adam I would to but I would get in trouble. With my -- the customers and give us a little bit of time and we'll get out for you. I just really wanted to convey that we continue to get momentum on these electric vehicle programs. I know understandably you want to data, if you can just give a little bit of time we'll get the clarity once we get our customer aligned with us and get that out for you okay.
Adam Schmitz: That's fair worth a shot, and then I guess you've mentioned the higher level OME activity over the past several months, I mean just kind of seeing across the entire business are there maybe any products or geographies where you're seeing a strength?
James Verrier: I think it's pretty linear actually pretty consistent Adam we're seeing that and quoting activity is strong across pretty much all of the business and our win rates are good and booking rates are good. I think incrementally the one I talked to a couple of time today is the electrified or electrification efforts, are incrementally a little higher and continued to go higher which is good news for us. But general it's strong, what I didn't want to convey, Adam was that all the causing activities higher strong on with electrified products and the core business is strong too.
Ken Lamb: I would like to thank you all again for joining us. We expect to file our 10-Q before the end of the year which will provide detail to results. Any follow-up questions about our earnings release, the matters discussed during this call or our 10-Q, please direct them to me. Melissa please close out the call.
Operator: That does conclude the BorgWarner 2016 first quarter results conference call. You may now disconnect.